Operator: Good day, and welcome to the Trinity Biotech Q4 and Fiscal Year 2020 Financial Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mr. Ronan O’Caoimh. Please go ahead.
Ronan O’Caoimh: Thank you very much. Good afternoon here and good morning to everybody in the United States. I’m joined by John Gillard, our Chief Financial Officer, and who is firstly going to bring you through the results for the quarter. Then, I’m going to give you an outline of progress in sales and marketing and give you revenue review. And then, we’ll open the call to question-answer-session. So, if I could ask, John, go ahead, please.
John Gillard: Thanks, Ronan. Good morning, everyone, or afternoon depending on where you are. And thank you for participating in our earnings conference call. Before we begin, I must inform you that the statements made in this earnings call may be deemed forward-looking statements within the meaning of the federal securities laws. These statements are subject to known and unknown risks and uncertainties that may cause actual results to differ from those expressed or implied in such statements. The risks include but are not limited to those set forth in the Risk Factors section of our annual report on Form 20-F filed with the SEC. We undertake no obligation to publicly update or revise these forward-looking statements to reflect events or circumstances after today or the occurrences of unanticipated events. Now, I will take you through results for Q4 2020, and then the results for the full year 2020. You will notice from our press release that a non-cash impairment charge has been recognized this quarter, as has been the case in recent years. And this is of course at the end of the income statement commentary in the press release. I will give further details on this later in the call. In addition, earlier in 2020, the Company recognized one-off costs relating to the closure of our Carlsbad, California facility. The income statement metrics I will quote exclude the impact of these two charges. I will begin by outlining the results for Q4 2020, and then I will move on to discuss the results for the whole year, as I mentioned. Starting with revenues, total revenues for the quarter were $32.8 million compared to $21.3 million in Q4 2019. As is our typical approach, Ronan will disclose revenues in further detail later on the call. As such, I will move on to discuss other aspects of the income statement. Gross margin for the quarter was 47.8% compared to 43.5% in Q4 2019, which is a significant improvement. This improvement in margins is largely as a result of sales mix changes, including continued strong COVID-19-related revenues, lower levels of instrument placements and the impact of cost saving initiatives put in place during 2020. Our gross margin remained susceptible as product mix changes, geographic spread, currency fluctuations and product level variation. As such, while the improved margin is welcome, I would caution it is not necessarily a new basis. Other operating income increased from $24,000 in Q4 2019 to $1.9 million in Q4 2020. A $1.9 million income in 2020 mainly relates to funding received under the U.S government CARES Act, principally its Paycheck Protection Program. Two out of six Paycheck Protection Program loans received by the Company were forgiven during the year. We’re in the process of seeking forgiveness for the remaining four Paycheck Protection Program loans totaling $2.9 million, and we expect them to be forgiven in 2021. These four remaining loans are treated as short-term liabilities at December 31, 2020. Moving on to R&D expenditure. This remained relatively flat compared to quarter four 2019 at $1.3 million. Meanwhile, SG&A has increased by approximately $500,000 to $6.9 million. This increase is primarily driven by increased performance-related pay as a result of the Company’s increased sales and profitability compared to the prior year and foreign exchange charges on the translation of non U.S dollar denominated leases. These result in an operating profit of $9.1 million compared to $1.4 million reported in quarter four 2019. Analysis of the $7.6 million increase in operating profit indicates it is primarily driven by increased revenue, which contributed almost $5 million to operating profit with the gross margin improvement of $1.4 million, with PPP loan forgiveness also adding to that increase.  Moving on to financial expenses. This includes the quarterly cash interest costs for our exchangeable notes of $1 million and $200,000 related to notional finance charges associated with these facilities. These notional lease finance charges are required by the relevant accounting standard IFRS 16. You will note that there are further non-cash financial expenses of $800,000, which are made up of non-cash accretion in the accounting carrying value of our exchangeable notes and non-cash fair value adjustments to the convertible assets of the note, as required by the relevant accounting standards. Profit after tax before impairments and non-cash financial expense was $8.6 million compared to $1.3 million in quarter four 2019. Tax for the quarter is a credit of $700,000, which is mainly related to the benefit of R&D credits with third quarter operating profit expected to be largely shattered by tax losses and deductions carried forward from prior periods for which no deferred tax asset had been recognized. As in prior periods and set out in the press release, reported earnings per ADR effectively are equivalent of EPS on standard basis and also before the impact of impairment charges one-off items and non-cash financial expenses. In that modified measure, earnings per ADR have increased to $0.41 from $0.061 in Q4 2019, while diluted earnings per ADR have also increased, in this case to $0.359 from $0.09 in Q4 2019. Earnings before interest, tax, depreciation and share options for quarter four 2020 were $10 million. I will now address the full year results for 2020. Starting with revenues. Total revenues for the year were $102 million, compared with $90 million for the prior year. As already mentioned, Ronan will discuss revenues in further detail later on the call. So, I would again move on to disclose other aspects of the income statement. Gross margin for the year was 47.6%, compared to 42.2% last year, which is a significant improvement. Similar to quarter four, this improvement in margin is largely as a result of sales mix changes, including continued strong COVID-19-related revenues, lower net of instrument placement, lower depreciation charges and the impact of cost savings initiatives put in place during 2020. Again, while the improved margin is welcome, I would caution that it is not necessarily a new basis. Other operating income increased from $0.1 million in 2019 to $1.9 million in 2020. And as I already mentioned, the $1.9 million income in 2020 mainly relates to funding received under the U.S. government CARES Act, primarily its Paycheck Protection Program. Moving on to R&D expenditure. This showed a slight reduction to $5.1 million in 2020 compared to $5.3 million in 2019. SG&A expenses decreased from $26.9 million to $24.2 million, a decrease of 10%. The decrease in SG&A expense was partly due to cost saving measures which were implemented in response to the COVID-19 pandemic and included the furloughing of some employees, reduced travel costs, cancellation of trade shows and other marketing events. These savings were partially offset by the aforementioned increase in performance-related pay due to higher revenues and profits. Our share option cost remains broadly flat at $780,000. This resulted in an operating profit for 2020 of $20.3 million, compared to $5.3 million reported for the full year 2019. The main drivers of the increase in operating profit were increased revenue, increased gross margin, lower SG&A costs and the forgiveness of the Paycheck Protection Program loan. Moving on to finance cost. This includes the annual cash interest costs of our tangible note of $4 million and $900,000 related to the notional finance charges associated with these facilities, again as required by the relevant accounting standard IFRS 16. Again, you will note that there are further non-cash financial expenses, in this case, $1.9 million for 2020 in a whole, which is made up of non-cash accretion and the accounting value of the exchangeable note, and again, non-cash fair value adjustments to convertible assets, required by the relevant accounting standard. Profit after tax before impairments and non-cash financial expense for 2020 was $15.7 million, compared to a loss of $4.1 million, reported in 2019. Again, in our press release, we quote earnings per ADR on the standard basis and also before the impact of non-cash financial expenses and one-off items. That modified measure, earnings per ADR for 2020 has increased to $0.75 from a loss of $0.194 in 2019. Diluted earnings per ADR have also increased, in this case to $0.749 from a loss of $0.003 in 2019. Earnings before interest tax, depreciation and share options for 2020 were $24.2 million. As I mentioned previously, the above metrics are before the non-cash impairment charge of $17.8 million and the provision for one-off closure related costs related to our Carlsbad facility, which were announced earlier in 2020.  I want to provide you with more information on that impairment charge now. This charge results from the accounting standard-driven impairment review required to carry out under IFRS, as we have carried out from prior years. There are a number of factors taken into account in calculating the impairments, including the Company’s year-end share price, calculation of the Company’s cost of capital, the net asset value and future projected cash flows for individual cash generating units in the business. In addition, the Company examined individual project costs for indicators of impairment. The non-cash impairment has been recognized against the following asset categories, intangible assets, $15.4 million; tangible assets of $1.8 million and current assets of $600,000. I will now move on to address some of the main balance sheet movements we’ve seen since quarter three 2020. Property, plant and equipment decreased by $900,000, which is largely the accumulation of the aforementioned impairment charge of $1.8 million and depreciation of $0.5 million, which is offset by capital expenditure additions of $1.4 million. Tangible assets decreased by $14 million which is made up of amortization of $0.2 million, the aforementioned impairment of $15.4 million offset by additions of $1.6 million. Trade and other receivables have increased by $1 million, reflecting the higher sales this quarter. Moving on to inventories, you will see that these have remained broadly flat at $30 million. Meanwhile, our trade and other payables have increased by $4.2 million. This is driven by a number of items, including working capital efforts in quarter, customized credit terms obtained from suppliers, deferred revenue, accrued performance rate of pay and partly offset by the Paycheck Protection Program loans forgiven and accrued interest payment in the quarter. Provisions increased by almost $4 million, mainly reflecting outstanding obligations relating to the closure of the Carlsbad facility and other contingent liabilities. Finally, I will discuss our cash flow for the quarter. Cash generated from operations during the quarter was $17.3 million. The Company paid $2 million interest on exchangeable notes. Other major cash flows for the quarter included taxes and other interest of $1.1 million, capital expenditure of $3.6 million and payments for property leases of $0.7 million. Overall, this resulted in a strong cash balance of $27.3 million at the end of 2020, which is a net increase of $7.4 million in the quarter. I’ll now hand back to Ronan, who will bring you to the revenue.
Ronan O’Caoimh: Thank you, John. I’m going to review our revenues for quarter four and the revenues for the year, before opening the call to question-and-answer session. Revenues for quarter four were $32.8 million compared to $21.3 million in the corresponding quarter last year, which is an increase of 54%. Point-of-care revenues in quarter four were $2.5 million, compared with $2.2 million in the corresponding quarter, which is an increase of 17%. The strong recovery in HIV revenues in Africa, have now returned to normalize levels, following two quarters which were adversely impacted by COVID-19. As you know, for many years, Trinity Biotech has been the dominant supplier of HIV confirmatory tests in Africa. [Indiscernible] to now enter the screening market for HIV in Africa, which is a 12-fold bigger market by value. We are very pleased to have completed the clinical trials in Africa on this new product, despite COVID headwinds over the last [Technical Difficulty]. And we’ll be making the final submission to the World Health Organization within the next two weeks, thereby enabling us to enter the HIV screening market for the first time upon receipt of WHO approval, which we anticipate will occur over the next number of months. Results of the clinical trials were absolutely excellent. Moving on to Clinical Laboratory, our revenues for the quarter increased to $30.2 million from $19.1 million, which represents an increase of 8% compared to the corresponding quarter. This increase is primarily explained by strong COVID-19-related product revenues with our PCR Viral Transport Media product being the most significant contributor. With respect to the current quarter, in quarter one of 2021, we are continuing with our practice of not giving guidance despite being late in the quarter because of fluid situation with COVID-related products. What we will say is that clearly quarter four was a very strong quarter and we saw many of our customers stockpiling COVID-related products. And as a consequence of this and as a consequence also of evidence of slightly lower levels of COVID testing in the market, our revenues in quarter one 2021 will not be as strong as in quarter four 2020. We have developed and continue to develop a strong suite of COVID-related products. Our FDA approved PCR Viral Transport Media product, called FlexTrans performed very strongly during the quarter. It’s a sample collection device for COVID-19 PCR molecular testing, which is used to store the nasal pharyngeal swab, which contains the patient sample, allowing to be transmitted in a stable environment. Transport medium stabilizes the sample and prevents bacterial growth and maintains its integrity until such time the test is run in the laboratory. The Company has scaled up its manufacturing capabilities of this product to meet the strong demand. Meanwhile, we received the CE Mark on our COVID-19 IgG ELISA antibody test during the quarter and are now free to sell the product throughout the European Union in addition to the United States. The product has specificity in excess of 98% and sensitivity in excess of 95% in samples drawn at least 14 days from symptom onset. These percentages comfortably exceed the requirements of the FDA emergency use authorization pathway. The product is manufactured in our facility in Jamestown, New York and is capable of being run on a wide range of instrumentation platforms, allowing access to virtually every testing laboratory in the world. Moving back to development of COVID-19 tests, we have previously indicated that the Company is also developing a rapid point-of-care COVID-19 test to detect IgG antibodies using finger prick blood samples with a test running in 12 minutes. Development of this test has now been completed with excellent sensitivity and specificity comfortably within FDA requirements range. Company’s now manufacturing product for final validation in advance of an emergency use authorization submission to the FDA, which we expect to be completed during the current quarter, following [Technical Difficulty] to sell the immediately -- during quarter two, before the end of June. In addition, the Company is developing a COVID-19 rapid antigen test using nasal pharyngeal swab, which runs in 12 minutes. The test will be manufactured in our automated manufacturing facility in Ireland which is virtually identical to that of both HIV Unigold. Meanwhile, the Company has also experienced significant increased revenue of our COVID-19 monoclonal antibodies. These monoclonal antibodies, the key raw material used in the manufacture of COVID-19 antigens. [Technical Difficulty] consequence of COVID-19, we have experienced revenues of respiratory point-of-care products. And moving back now to our core business. As already indicated, our HIV business has returned to a normalized revenue levels. Our diabetes business continued to have low instrument placement during the quarter with just under 30 instruments placed, which is less than 50% of normal placement levels. [Technical Difficulty] surprising as hospitals and clinics were unlikely to purchase new capital equipment in the midst of the pandemic. However, we are confident that these segments will fully recover in a post-pandemic environment. Meanwhile, reagents revenues in our diabetes business are running at about 90% normal, again due to the fact that patients are less likely to perform discretionary tests during the pandemic, while our auto immune business was approximately 10% short of normal levels [Technical Difficulty] fact that during COVID-19 many patients are deferring doctor visits except where absolutely necessary.  Now to look at the year as a whole. Total revenues for fiscal year 2020 were $102 million, compared with $90.4 million in 2019, which is an increase of 13% year-on-year. Point-of-care revenues decreased from $11.4 million in 2019 to $9.2 million in 2020, which represents a decrease of 19%, driven by lower HIV sales in both the USA and Africa. The decline in the USA is attributable to the decision to exit this market, which has been in decline for a number of years, while African sales were lower due to COVID-related issues arising primarily in the second and third quarters. Clinical Laboratory revenues increased from $79 million in 2019 to $92.8 million in 2020, which represents an increase of 17%. This increase is mainly due to strong sales within our COVID-19-related product portfolio with our PCR Viral and Transport Media product being the most significant contributor to revenue within the portfolio. Due mainly to the impact of COVID-19, revenues for hemoglobin, autoimmune and infectious disease products all recorded decreases in 2020 compared to 2019. Our hemoglobins business revenues were affected by the deferral of diabetes instrument purchases as healthcare resources were stretched by the pandemic. Our autoimmune business was also impacted by COVID-19, experiencing lower testing volume in our New York reference laboratory. However, we are confident of revenues in these business sectors entirely recovered in the post-pandemic environment. So, if I could now hand over to the operator for a question-and-answer session, please.
Operator: [Operator Instructions] Our first question from Jim Sidoti with Sidoti & Company. Please go ahead.
Jim Sidoti: Good afternoon, Ronan and John. Sorry, I had to join the call a little late. So, I’m sorry if you went over this already or not. But, last quarter, I think you indicated that the revenue from the COVID-related products was around $13 million. Did you break that out for this quarter?
Ronan O’Caoimh: No, we haven’t actually said -- we haven’t separated it?
Jim Sidoti: Was it similar to last quarter? Can you give us anything on that?
Ronan O’Caoimh: It’s about exactly the same, Jim.
Jim Sidoti: Okay. Right. And you indicated that you’re getting closer with the TrinScreen WHO approval. Should we assume that you’ll be generating revenue from TrinScreen in 2022?
Ronan O’Caoimh: Yes, absolutely in 2022. So, the position we have at the moment is, despite all the COVID headwinds and trials were delayed in the various countries -- in two to three countries, we have now completed the trial. And we expect -- we actually expect to -- we had already submitted to the FDA [Technical Difficulty] World Health Organization various modules. And the final module -- which they’ve reviewed, the final module was the actual trials themselves. So, we expect to submit that actually literally in the next three or four days. So, everything’s been assembled and ready to take it. And so, now, really -- and by the way, the results were like extraordinarily good. They were absolutely really more or less beyond what we could expect. [Indiscernible]. So, it was a super, super product. And the WHO -- so now we just wait for them to reveal it. And how quickly they do it in the COVID environment is unclear. We’ve actually been speaking with them over the last number of days. And, of course, they’re giving precedence to sort of, for example, antigen test. But we’re hoping that they’ll get to it reasonably quickly. And while we don’t have any certainty, we’ll certainly be hoping to get an approval in quarter three. But it’s outside of our control. We don’t think we’ll get it in quarter two. And at that moment, we’re free to sell. So, yes, I think, we will undoubtedly have revenues in 2022. It’s possible that we get some minor revenues in 2021. It’s possible frankly hoping to do so. But, then, it’s a matter of winning algorithms and whatever as they come up for review. But in overall terms, as I said, in revenue -- potential revenue terms, this is in terms of market size, it’s bigger by a factor of 12, pricing is lower than confirmatory. But it’s a huge market that we stayed away from in the past and we’re now entering into it. It’s a market dominated by Alere, by Abbott’s Alere product range. And we think that we can take a significant market share over time.
Jim Sidoti: And just in terms of timing, do you have to wait for tenders to start…
Ronan O’Caoimh: If you consider -- if you look across sort of 30 to 40 countries, algorithms tend to be -- algorithms look for review, basically supplier review. So basically, the screening supplier will be -- reviewed are changed every -- typically two years, sometimes every year, but normally two years. So, there’s a constant stream of renewals happening at any one time. We’ve been going through them all, literally every one.
Jim Sidoti: And COVID’s been…
Ronan O’Caoimh: I think in some instances -- Jim, in some instances in some of the bigger countries, take Nigeria, where there might be 60 million, 70 million tests -- 50 million tests in a year, and the screening can be split between two companies.
Jim Sidoti: And then the last one from me, COVID’s definitely been a pass on certain products. But then, as you indicated, it’s definitely put some pressure on things like your diabetes sales and some of your other products. Are you seeing that pressure starting to subside in Q1 and do you expect the diabetes business comes back to at least 2019 levels in 2021?
Ronan O’Caoimh: Yes. I mean, if you look at diabetes, for example. Our instrument placements collapsed in quarter, during the months of April and May, just completely collapsed to virtually nothing and began to recover somewhat in quarter three and more in quarter four. But like, we’re -- still during quarter four we were still at 50% of normalized placement levels. And for reagents, we’ve characterize it at about 90% of normal, which actually -- we think we’re surprised that how strong it is, given that people are trying to avoid going to hospitals or indeed doctors as well as hospitals. But, that’s what we’ve been achieving. We’re absolutely confident that the market will return -- recover completely in the post-pandemic environment, as soon as we kind of have a significant -- as soon as majority of people are vaccinated.
Operator: The next question comes from William Lapp, [ph] private investor. Please go ahead.
Unidentified Analyst: Good morning or good afternoon to you gentlemen. John, nice to have you on Board. I got a few questions. Number one, I presume you did not qualify for the second draw on the PPE loans. You didn’t meet the criteria? Have you applied for the second draw to PPE loan?
John Gillard: In some of our businesses, we did, in two, I think, we did qualify, but not for the others.
Unidentified Analyst: Okay. So, you’ve submitted. Have you got -- yes, you’ve got to meet to 20% test, but did you
John Gillard: Yes.
Unidentified Analyst: Okay. Have you got the loan yet, or you haven’t got it yet?
John Gillard: Yes, we have. We received two of them…
Unidentified Analyst: And how much was that?
John Gillard: $1.7 million.
Unidentified Analyst: $1.7 million, which you anticipate to be proved…
John Gillard: $1.7 million…
Unidentified Analyst: Yes. And don’t forget about the employee tax credit too, if you do that.
John Gillard: It’s difficult to predict at this stage where it’s going in terms of the forgiveness. The first step is, we receive the fund.
Unidentified Analyst: Okay. Well, that’s good. Ronan, could you kind of -- last quarter -- the third quarter, you had more of a profit than you did on the fourth quarter. Didn’t you -- weren’t you at $22 million on the third quarter versus the fourth quarter? What are the comparisons of the third quarter of 2020 versus the fourth quarter of 2020? Did you not -- you didn’t make as much money in the fourth quarter?
Ronan O’Caoimh: No, we didn’t. Not after -- so I suppose, yes, the move impact would be an increase in SG&A cost in quarter four and I think a reduction in margin as well. So, those are main contributing factors to that.
Unidentified Analyst: Okay. So now... pardon? Did you say something, Ronan?
Ronan O’Caoimh: Yes. No, go ahead.
Unidentified Analyst: Yes.
Ronan O’Caoimh: I was just about to say, but…
Unidentified Analyst: Go ahead. You say first.
Ronan O’Caoimh: I was going to say that there was strong profitability and strong cash generation, the cash from $19 million to $27 million.
Unidentified Analyst: Okay. Well, that’s good, because we have the big loan coming up. Then, could you explain a little bit more on the COVID where -- you said this quarter may not be as good as the fourth quarter. But, isn’t your -- is your COVID consist of sending out supplies that they use for the swabs, et cetera. But what about -- and that you’re doing pretty well, I think. And then, how is your testing, your one that’s running through the lab, have those produced much revenue that you developed for the laboratory rather than the rapid tests? Has that been successful or where are you at with that?
Ronan O’Caoimh: Well, we’re starting with United States, and now -- we’re now in the -- the European Union has opened to us as well. We’re working right on that. I think in terms of significant potential, I think the bigger potential is in the rapid test, is in the point-of-care test rather than laboratory. And as you know where we are with the rapid antibody and of course we’re working on the antigen test as well. So, I think, the most significant revenue potential lies there in the point-of-care than in the other. I also will talk to you that we were doing very well in monoclonal antibodies and [Technical Difficulty]
Unidentified Analyst: Could you explain the difference between -- is there two rapid tests that one is an antibody? I was just kind of looking at -- the two rapid tests you’re -- the rapid tests you’re doing for the COVID, is there two of them? One is a blood test, right?
Ronan O’Caoimh: Yes.
Unidentified Analyst: And then, what’s the other one then.
Ronan O’Caoimh: Yes. So, we’ve got two tests. We’ve got an antibody test, which is exactly like the HIV test. And so basically you take -- you use a spring loaded -- you get a drop of blood with finger prick, and you put that sample, then like 50 -- 30 micro liters. You basically -- put it basically onto the test, add 4 cups of wash solution and within 12 minutes you get the results. So, that’s an antibody test. That tells whether or not you’ve got basically -- and in fact it tells you whether you previously had COVID or not. The other tests we’re developing -- and that test is very close. So, as I said, we expect to get an EUA from the FDA basically during quarter two. So, basically, within the next three months, we expect to be in the market with our product. The other test we talked about is an antigen test. There’s a lot of publicity about antigen. And an antigen test basically detects whether you actually have at a particular moment in time got COVID.
Unidentified Analyst: Okay. So, it’s like the Alere test -- it’s like the Abbott tests that are out there, they Q and whatever that is, right, those other tests?
Ronan O’Caoimh: It’s same way as Abbott’s test or Quidel’s test, antigen test. So, we’re working on that. We’re making very good progress, without giving timelines, we just don’t want to tie as timelines. And I would prefer to not to over promise. But, the confidence is that developing a high-quality tests which can be manufactured in high volume in our automated systems of manufacturing facility here in Ireland, we already can manufacture in high volume. And we’re confident basically of developing a good test, very, very good antigen test, quality tests for the long term.
Unidentified Analyst: Well, that sounds good. I mean, there’s quite a market for that. And I mean, that’s what people have to go, like to go to the airport, they have to go to another country, they have to have the test 72 hours, that test would be performed, an antigen test, right? Like if you’re going to go from the United States, maybe to Hawaii, you got to have a test before you get on the airplane 72 hours before. Would that test would be used to say you can go and you are safe, right, an antigen test?
Ronan O’Caoimh: That’s actually -- that normally is a PCR test. The advantage of the antigen test is, for example, it can be done literally, at the point of embarkation. I mean, it only takes 12 minutes. So, it can be done on the spot. PCR test, before you travel, you have to get it done 24 to 36 hours earlier.
Unidentified Analyst: Okay. So, given your whole -- that’s very helpful for the distinction. So, given where you’re at in 2021, what do you look for? What do you see as the rainbow coming forward as to where Trinity’s really going to shine, without giving any guidance? Where do you look for the big upsurge?
Ronan O’Caoimh: I think, the most exciting thing at the moment for us is our TrinScreen product. So basically, we have been a dominant force in Africa with HIV testing, screening. We have HIV confirmatory testing for 15 years now, and we’re now entering a market, which is multiple times bigger, which is a screening market, with an absolutely superb product. And we think we can take a big share there. There are 117 million of these testing run every year in Africa, and we intend taking -- are confident of taking a decent share of that business.
Unidentified Analyst: Okay. That’s pretty profitable -- and that’ll be pretty profitable.
Ronan O’Caoimh: Absolutely, yes. And beyond that, we would be very excited about our COVID range of products, because we think, although as the entire population becomes vaccinated, it’s not going to be a huge problem, but with COVID is -- not going away. And so, we think we have a suite of products for the long term.
Unidentified Analyst: Okay. That’s good. And I presume that you’re thinking very heavily on our repayment of that. Is that $100 million due in April of 2022. Is that a target for the loan?
Ronan O’Caoimh: Yes.
Unidentified Analyst: Well, thanks for taking my question. And I appreciate the progress you’re making. And keep up the good work.
John Gillard: Thank you so much. Okay. Operator, we’re just going to take a last question and then wrap up the call.
Operator: Okay. The last question comes [indiscernible] a private investor. Please go ahead.
Unidentified Analyst: Just quick question on that 4% senior note. I think, the prior caller asked the same question. But he didn’t really let you finish. So, my question is, what are the plans for senior notes? It seems like it’s common due in May of 2022?
John Gillard: Today that -- it obviously matters that we’ve given some considerable thought here both in management team and as a Board. We have a number of options available to us. That date is still some time away. And we’ll use that time to determine what the optimal approach would be. You can probably understand that I’m unlikely to on a conference call, an open conference call, to give you our most intimate source on it. That probably wouldn’t be a great idea. You will, however, note, for example, that our cash balance increased from $19 million to $27 million, which obviously is very positive development in the context of the pending maturity of that note. I don’t mean to be obscure in my response, but I think that’s about as far as I can reasonably go.
Unidentified Analyst: Okay. That’s fair enough. Thank you.
Ronan O’Caoimh: So, we see no more questions. So, if I could just wrap up the call now and say, thank you very much for your support and your interest, and look forward to talking to you, actually, in not too many weeks away, because this is a small gap to our quarter one results. So, thank you, and good morning.
John Gillard: Thank you, everybody. Have a good day.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.